Operator: Good afternoon. My name is Jacqueline, and I will be your conference operator today. At this time, I would like to welcome you to Virgin Galactic’s Fourth Quarter Full Year 2020 Earnings Conference Call.  Hosting today’s conference will be Seth Zaslow, Vice President, Head of Investor Relations at Virgin Galactic. As a reminder, today’s call is being recorded. I would now like to turn the conference over to Mr. Zaslow. Please go ahead.
Seth Zaslow: Thank you, and good afternoon, everyone. Welcome to Virgin Galactic’s Fourth Quarter and Full Year 2020 Earnings Conference Call. On the call with me today are Michael Colglazier, Chief Executive Officer; Mike Moses, President of Space Missions and Safety; and Jon Campagna, Chief Financial Officer. Following prepared remarks from Michael, Mike and Jon will open the call for questions. A press release was issued about 45 minutes ago and is available on our Investor Relations website, as is the slide presentation that will accompany today’s remarks.
Michael Colglazier: Thanks, Seth, and good afternoon, everyone. I hope you and your loved ones are keeping healthy and safe. First off, I’d like to welcome Seth Zaslow to Virgin Galactic. As you may have seen, Seth joined us a few weeks ago to lead our Investor Relations function, serve as our primary liaison with the investment community. Seth is awesome and we’re very pleased to have him on Board, and I’m confident you will all enjoy working with him. Second, I’m sure many of you saw our CFO, Jon Campagna will be stepping down from his role to pursue his next adventure. I’d like to thank Jon on behalf of the entire Virgin Galactic team. Jon has been our CFO during our transition from private to public company and helped build excellent relationships within the investment community. He leads us with a strong balance sheet at a time when the company is well positioned for future growth. I will share more about our incoming CFO, Doug Ahrens later in the call. Moving on to the agenda, I’m going to start today’s call with a brief recap of our 2020 accomplishment and an overview of our flight schedule. I’ll then ask Mike Moses to provide some detail on our December 2020 flight, as well as an update on our upcoming flight, which I know many of you are eager to hear about. I’ll then talk about the progress we’re making on expanding our fleet, followed by some thoughts on commercial plans and how we are positioning the organization for scale and success. After that, Jon will provide detail on our financial results.
Mike Moses: Thanks, Michael. Moving on to Slide 8. During the December test flight, the rocket motor halted, as it was starting the ignition sequence, because the onboard rocket motor computer lost connection. This system like others on the spaceship is designed such that it defaults to a safe state whenever power or communications is lost. We plan for and rehearse many potential scenarios, including one such as this and the pilots in the spaceship, as well as the engineers in mission control were well-prepared for this event. Following the flight, we completed an extensive analysis to investigate why the rocket motor computer lost connection. And we are confident that we’ve identified and isolated the issue to be a reboot of the computer, likely caused by electromagnetic interference, or EMI. Unity has been upgraded with the new flight control computer system, which offers a finer degree of pilot control. This system has performed well in our glide flight tests and is one of the components we are testing in our rocket-powered flights. Our team has determined that part of this new system is the source of higher EMI levels that were present on that last flight. EMI is a relatively common challenge in aerospace. And in January, we proceeded with modifications that were designed to lower the EMI levels and better protect certain systems. After confirming through testing that these corrective actions would prevent a reboot of the rocket motor computer, we determined that we were ready to target a February launch. As we completed our pre-flight technical readiness checks for that February flight, some of our shipboard sensor readings showed fluctuations, and it became apparent that those changes that we had made to address EMI had unintentionally created additional noise within our sensor environment. While this noise not in itself is a safety issue, it did let us know that the EMI levels on the ship were impacting areas that while low in profitability could potentially trigger another fail safe scenario, possibly one that could prevent us from seeing a full rocket motor burn.
Michael Colglazier: Thanks, Mike. Just to reinforce Mike’s comments. One of the imperatives for me, when I decided to join Virgin Galactic was confirming the company had an unwavering commitment to its safety culture. And that’s exactly what we’re seeing here. We know our spaceflight system works. We know we can go to space, and we are all very eager to get back to space. But when we see something that isn’t quite right, we tackle it hard and we fix it and then we move forward. And that’s what we’re doing. Once this EMI issue is addressed to our satisfaction, we intend to return to the test flight program sequence that we previously communicated. Our estimate to complete this work is eight weeks to nine weeks, which suggests our next test flight will be in May. While we’re not going to play specific dates around our second and third test lights, we expect them both to occur this summer. Turning to Slide 9. Our spaceflight system is built to serve three markets, private astronauts, microgravity research, and suborbital training for professional astronauts. Our flight with Richard Branson will demonstrate our private astronaut experience, and we will open sales for this market following his flight.  Our microgravity research product includes spaceflights, where two pilots fly racks of research payloads in the cabin, or when two pilots fly researchers onboard with their experiment for a human tended research flight. The suborbital training product supports governments and countries that would like to include suborbital space flight as part of a training program for their professional astronauts. With regard to these latitude markets, I’m pleased to confirm today that the Italian Air Force is partnered with Virgin Galactic on a flight that will demonstrate our capabilities for both human tended research and suborbital astronaut training. They will be flying three spaceflight participants and multiple payloads, and they will conduct astronaut training in addition to experiments during the flight. The Italian Air Force flight, which we expect to occur in late summer or early fall, will be a revenue generating flight and we’ll conclude our product test program.
Jon Campagna: Thanks, Michael for your kind words earlier and good afternoon, everyone. Before we jump into today’s update, I wanted to share with you all that it has been a fantastic five and a half years. I’ve been fortunate to have worked with a team of incredibly talented people, and I’m very proud of the work that I’ve been part of that led to the public offering of the company, transitioning us to being the first publicly traded human space flight company. I look forward to seeing the company continue to grow into the future. turning to slide 18. 2020 March Virgin Galactic’s first full year as a public company. as Michael highlighted, despite the challenges that the pandemic presented we’ve made significant progress towards our goal of reaching commercial launch. And we believe we’re well positioned heading into 2021. Let’s review our results for the fourth quarter. We did not generate any revenue during the quarter, given our continued focus on flight tests. net loss for the quarter was $74 million compared to a $77 million net loss in the third quarter of 2020. non-GAAP SG&A expenses and non-GAAP R&D expenses have been adjusted to exclude stock-based compensation and non-capitalized transaction costs if applicable. non-GAAP SG&A expenses for the quarter were $23 million compared to $26 million in the third quarter of 2020. GAAP SG&A expenses for the quarter were $33 million, compared to $31 million in the third quarter of 2020. the increase in SG&A expenses is attributable to an increase in non-cash stock-based compensation expenses due to the scheduled grant of additional equity awards, which relate back to the closing of the transaction with Social Capital Hedosophia in 2019. we expect to continue to incur these expenses in the next quarter and beyond. Non-GAAP R&D expenses for the quarter were $40 million, compared to $43 million in the third quarter of 2020. GAAP R&D expenses for the quarter were $41 million, compared to $46 million in the third quarter of 2020. The decrease in R&D expenses is due to the one-time $5 million non-cash charge incurred in third quarter, which I mentioned on our last earnings call, which relates to the expensing of certain inventory items to R&D. adjusted EBITDA totaled negative $60 million for the quarter. This is compared to adjusted EBITDA of negative $66 million in the third quarter of 2020. The improvement in adjusted EBITDA primarily relates to the reallocation of the one-time non-cash charge, expense to R&D in the third quarter as I just mentioned. looking at the year overall, as you know, our primary focus remains on completing our test flight program as we prepare to start commercial operations. as such, we did not generate significant revenue in 2020. net loss for fiscal year 2020 was $273 million, compared to a $211 million net loss in fiscal year 2019. adjusted EBITDA totaled negative $232 million for fiscal year 2020, compared to a negative $187 million for fiscal year 2019. turning to capital allocation on slide 19. in the fourth quarter, free cash flow was a use of $74 million reflecting an increase of $15 million compared to the prior quarter. This increase was primarily due to higher public company costs, which are concentrated in the fourth quarter as I outlined on our last earnings call. capital expenditures were $4 million for the fourth quarter of 2020 flat compared to $4 million for the third quarter. capital expenditures in the fourth quarter consisted primarily a vehicle tooling and other equipment costs. For full year 2020, free cash flow totaled negative $250 million compared to negative $223 million for fiscal year 2019. capital expenditures totaled of $17 million for fiscal year 2020 compared to $14 million for fiscal year 2019. the increase was primarily attributable to building improvements and vehicle tooling. Looking ahead, we anticipate our quarterly free cash flow to return to approximately negative $60 million for quarter. Importantly, our balance sheet remains strong. We remain in a strong cash position and ended the year with cash and cash equivalents of S666 million. As a reminder, in the third quarter, we took advantage of favorable market conditions to raise $441 million in net proceeds via a secondary stock offering of $23.6 million shares. going forward, we’ll continue to look to be opportunistic about raising capital to further our strategic objectives. I’d like to now hand the call back to Michael.
Michael Colglazier: Thanks, Jon. Turning to slide 21. I again, want to take a moment to thank our entire team who have been so hard at work on our various initiatives, the dedication and passion that I’ve been seeing throughout these challenging times, truly amazing. I’m extremely proud of the progress we made in 2020, and I’m even more excited about what we have coming up in 2021. Our focus remains on the following three areas; number one, fleet readiness; completing our test flight program and preparing for commercial service. Number two, fleet expansion, at a new spaceships and new mothership store fleet and pivoting the organization from an R&D phase to a manufacturing phase that will allow the business to scale over time. And number three, developing the astronaut and consumer experience. We’re assembling soon to build out our commercial strategy and to monetize and scale the business. It’s an incredibly exciting time for both Virgin galactic and for the space industry as a whole. There’s such an incredible amount of innovation going on right now. It’s really extraordinary. operator, we’re now ready to begin the Q&A portion of the call. Yes. Are you there?
Operator:  Your first question comes from Robert Spingarn from Credit Suisse. Your line is open.
Robert Spingarn: Hi, good afternoon. Michael, perhaps you could give us some further background on what precipitated some of these management changes and the creation of these advisory boards. It sounds like you’re really filling out the ranks, what was missing?
Michael Colglazier: Hey, Rob. good to hear for you. So, it’s pretty easy story and consistent with, I think, where we’ve been. The company’s had just an incredible first chapter that has – I think, I’ve used the words brought us right up to the precipice of getting the technical feasibility of how our spaceflight system works. And really importantly, the next step of this is going to be to take that technology and move to a manufacturing footing, where we can build and scale a fleet of vehicles and moving to a commercial footing, where we really stepped forward in a very strong way in the marketplace. So, if you look at each of these roles, they are outstanding individuals, who have come to join us and are really additive to what we’re doing. So, when you see Swami and Steve coming in, these are people, who are both expert in aerospace, right; deep experience, and have seen and develop things like what we’re doing in our area. But also they’re just incredible leaders of people. And in order to scale and build all of our spaceships, all of our motherships that is a team effort and the team needs leaders, who will be both really skilled and really expert in doing it, but also folks, who have a driving personality, a driving focus that will enable us to move the organization forward at the scale and pace. So, it couldn’t be more thrilled there. And then on the commercial side, both, Joe, Blair and Geoff, again, these are advisors, who are helping do specific parts of getting us prepped and ready, and ready to launch on the consumer piece in parallel, as we move our fleet forward. the space advisory board, these people are deep in their expertise, and they’re exactly, who we want as advisors to the company, both on the fleet development and some of the new vehicles we may want to pursue in the future, but also just in the experience that we want to bring. And I think you can tell by the talent and the quality of the folks there, they are going to be huge additions. So, it’s really – it’s a chapter one, chapter two story, and I think super additive to where we’re going and what I think you’d expect of us.
Robert Spingarn: Okay. And then just – maybe, this is more of a technical question, but now that we have spaceships II, III, and then the Delta series, is there any way to quantify the different levels of call it, annual revenue capture between the different types of ships?
Michael Colglazier: I don’t know we have the ability to give you revenue quantification, but the difference between these SpaceShip II unity, that’s what we’re flying now was built as our demonstrator vehicle. That’s how we’ve been working through the flight sciences and flight test program. And as such, it was the one we modify along the way through flight tests. It has pretty low rate as we talk about the frequency, in which it flies. the SpaceShip III class, the first, which we showed that sneak peak earlier in the presentation as we said, they’re built in a modular fashion. They’re built to be maintained in a more reliable pace. They’re still built in a relatively handcrafted form using the same techniques that we did for Unity, but with the learnings of that. And so those vehicles will perform the way we want them to perform. But our pace of building that class of vehicles is a little slow. And that’s what the Delta class of vehicles is about. This is where we’ll go back with the same functionality of our spaceships, but we can modify our engineering drawings, so that we make things that can be manufactured at a higher rate and ensuring the manufacturing processes, we’re doing them in ways that allow us to have less maintenance between flights. So what you’ll see is the frequency of spaceship III will fly more so than two. This frequency is SpaceShip IV, we weren’t calling that, we’re calling that Delta class vehicles, will be more frequent than SpaceShip III. And it’s that Delta class of vehicles that I think will be the one we build kind of the economic back of the company with.
Seth Zaslow: Jacqueline, I think we’re ready for our next question.
Operator: Your next question comes from Myles Walton from UBS. Your line is open.
Myles Walton: Thanks. Good evening. How are you? So Mike Moses, I was hoping I could ask you a question just on the EMI as you highlighted and give us good detail on it. Sometimes you can get around it through shielding. That doesn’t sound like the situation here. It sounds like you’re actually having to get into the guts of the flight controller itself. And so I’m just curious again, you have the solution and it’s been implemented is now in test or the cause and you’re identifying the solution and then you have to test that. I’m just trying to put a fine too on that one.
Mike Moses: Yes. Thanks, myles. So, we started between December and February tackling with shielding and grounding like you mentioned, right. And that’s how we tried to address the elevated levels we saw. When we were prepared to go -- do our final preflight checks for the February launch, we saw some of our sensor readings, pressures and temperatures, those types of things, showed some unusual fluctuations, which kind of let us know that EMI was still present and maybe in systems that we didn’t initially anticipate. So that’s where we decided to kind of go with the fix at the source. So, a modification to the flight control computer that is the source of this elevated noise level is our current plan. So, we have the modification for that designed, it’s been prototyped now , we’ll be doing testing on the ground, in the bench on the lab and then, and just a little bit on the ship and we need to run it through all its pieces before we’re ready to commit to a launch, but that’s the reason for the current standout.
Myles Walton: Okay. All right. Thanks, Mike. And Michael Colglazier, sorry so many mikes, but what’s the compliment of spaceships and mothership to achieve the 400 flights per space? I’m not sure I know where that answer is.
Michael Colglazier: So, we haven’t given guidance on a specific number there, myles. It obviously depends upon how quickly we turn each of those spaceships. On the mothership side, a little more clear, we know we want to fly at least twice a day, maybe three. So, we will probably shoot for three motherships for every space port that we do. And that will allow us to get the frequency of flights that we want. I’ve guessed high single digits to low double digits of spaceships per spaceport. That’s I’d say, an informed look, but not something that we have guidance on right now. We need to see what the turn times of each of those class of vehicles will be once we’ve got them built and going, but that’s how we’re generally building plans around it.
Myles Walton: Okay. Thank you.
Michael Colglazier: You’re welcome.
Operator: Your next question comes from Ron Epstein from bank of America. Your line is open.
Ron Epstein: good evening, guys. I guess, as a follow on to myles’ question. What are you guys going to break even with cash and I mean, obviously, that’s gotten pushed out to the right. And do you have enough capital to get there or are you going to have to raise some more money?
Michael Colglazier: Well, we believe we are very well capitalized and again, I think Jon’s done a great job as we took advantage of good market conditions last August. So, we’re sitting on quite a good balance sheet. We think we’ve got plenty of room there to get our fleet production moving and growing forward there. So, we’re not giving guidance on specifically when we are turning cash positive and turning that around. But obviously, we feel well positioned economically going forward there.
Ron Epstein: I guess maybe if I push out a little bit more, I mean, how much of a window do we have? I mean, this is a pretty big slip. If you have another one, you could push it out two years. maybe, how long do we have?
Michael Colglazier: Well first, I don’t think this is a big flip at all right. This is, I think, we are pushing from our flight eight to nine weeks and we’re commencing the same program that we’ve had there. So, I wouldn’t characterize it that way. And then we’re moving on the same path. In fact, just to be clear, we’ve got the next flight, which we’re estimating goes in may. and then we have the next two flights, as we announced before in sequence, those will be in the summer. We are shared, we’ll have our first fully passenger loaded revenue producing flight. We believe that we’ll be a kind of late summer, early fall, and I don’t think that’s a big slip by any sense. That’s just being prudent in getting EMI taken care of on our ships here. And so then we’ve been spending plus or minus $60 million a quarter and we’re sitting on over $660 million at the close of 2020. So, I think that gives a sense we are well capitalized and not in any gap challenges there. So, hopefully that gives you a little bit more sense. I think we’re in good shape.
Ron Epstein: Okay, great. And then maybe, just another one. Congratulations on the Italian Air Force work. Are you talking to other air forces or other government customers? And can you give us any color on that?
Michael Colglazier: Nothing extra to announce today, although we are in active conversations with people that I think will want to do things similar to the Italians. What I think we are seeing from us is we’re looking to the flight with Richard Branson to really showcase for the world what our private astronaut experience will be. And that’s why we’ll be opening up and really pushing our commercial sales strategy, following that flight and the Italian astronaut, which is a revenue producing flight and we’re excited to get into that side and an inflection point in our business. As we bring back the kind of footage and experience that we’ve worked with the Italian Air Force, I think that will also be the demonstrator flight for that slice of our market. And it will see us push further into; I’ll call it, the sales channels, following the Italians there. We’re very excited for both of those flights and excited for how we’ll launch our commercial sales strategies following them.
Operator: Your next question comes from Noah Poponak from Goldman Sachs. Your line is open.
Dan Berglund: Hey, guys. this is Dan on for Noah. How’s it going?
Michael Colglazier: Hi, Dan.
Dan Berglund: So, we saw that Blue Origin completed another test flight with the New Shepard just over a month ago, appears we’re getting pretty close to flying folks. How do you guys see the competitive landscape developing here? And then maybe, in a world when multiple people are doing this, what do you think is going to be the most important parts of the experiment that – of the experience that makes folks choose to fly with you guys?
Michael Colglazier: So, as we said before, I’m excited Blue is doing what they’re doing. I think it’s going to be important for the space industry as a whole to showcase that people flying to space as a normalized thing, aspirational shore, but something that everyone wants to do. And I think the supply is going to be constrained for quite some time and the demand is going to be really, really strong. So, I think having multiple players in the market that can show how exciting this is and how transformative that could be as a good thing.  with that said, we’re really comfortable and very confident in the positioning that we will take. Some of that has to do with the spaceship – space flight system architecture. And we’ve talked about that in the past. I also think you’re seeing with some of the people we’ve brought in to help launch the consumer experience, what we’ll do at Joe Rohde, as our experienced architect, we’re going to be taking a very customer-focused approach with the private astronaut market in particular. And that will be a journey that culminates in this flight. And I think we will take a very unique, deep and robust approach to that that will be a very strong competitive advantage for us. And then I believe our spaceflight system is very suited to the other two markets that we just talked about. They’re both the suborbital training and astronaut training program, but also what we can do is scientific research. There are a lot of components in the way our system works. The G-forces on it that I think will give us advantage and good abilities in those markets as well. So, feel good and also feel good with blue getting in there. This is a business that is going to, I think, really grow and grow and having some people in there that shows a commercial strength is really good for the market total.
Dan Berglund: Got it. Yes, that’s super helpful. Maybe, one more, just you guys have spoken to the $1 billion annually in revenue per Spaceport, and to the extent, the pace at which you guys can roll that new spaceports will dictate how fast you guys can roll that into spaceships. So any – realistically, any timeline on how far away we are from next steps towards actually building new spaceports?
Michael Colglazier: I won’t comment on a timeline, but I think we can share what are the kind of steps that will go along the way. So, first steps are – we’re going to start to maximize out Spaceport America in New Mexico, and that’s what you see us doing. That’s where we’re finishing up our space flight testing, bringing our SpaceShip III class of vehicles out, and then getting going now on the Delta class of vehicles that will start to ramp that up. I don’t think we have to get to full efficiency at Spaceport America first place before we start engaging in other places around the world. But from a sequence standpoint, we’ll get some points up on the board and be flying on a regular basis, so that we understand this is really a bit more of scaling our fleet manufacturing. And if I could just build on that for a minute, as we build up these new program that Delta class of vehicles and build our manufacturing capability for that. And as we get going on our new mothership program and have our capability to produce those vehicles up. Obviously, we’ll be scaling up the fleet in Spaceport America. And as we scale that fleet up, if you think about it, when we then go to our next spaceport, we will have the manufacturing capability in place such that kind of the fleet will be able to arrive at that second spaceport in a much, much faster fashion than is happening in our first one. So, I think that’s helpful to know as you think about how our manufacturing facilities, team and production pace really grows.
Operator: Your next question comes from Oliver Chen from Cowen. Your line is open.
Michael Colglazier: Hi, Oliver.
Oliver Chen: Hi, thank you. Good afternoon. With the experience architect and also, the consumer engagement piece, what factors will you prioritize in terms of the goals there and what’s your hypothesis for and what will be some of the earlier innovations that you seek to do there? Also as we think about CapEx, how are you balancing, scaling and what should we think about for CapEx over the next year as you scale manufacturing and you’re balancing what you need to do with your own investments versus using flexible arrangements?
Jon Campagna: Okay. thanks, Oliver. On the first one, what we’re trying to do, and I think when you see us bringing in people like Joe Rohde, Blair Rich, Geoff Goodman, we are going to focus in the private astronaut market on making sure that the buildup from the time people sign on with us up to the moment, where they come in, in the first case in the New Mexico for intensive training is got them so prepared that when they look back down to the planet and kind of have that gift. they’ve done everything to be ready for it. And the guests and friends and family that come with them have been along the way. So, our focus is really making sure the preparation for that hit and there will be a lot of – I don’t want to kind of get ahead of the creative team, because I think that’s going to be a lot of fun when they showcase what we’re doing here. But if you look at the talents that we’re bringing in, it’s very authentic storytelling. It’s very focused on a transformational journey that will come. So, you’ll see those as the themes that we are prioritizing and we’re going to look forward to sharing more as those experience designs and storytelling come away. As it pertains to CapEx, I said on earlier question, we’re well-funded right now. And at the pace of spending we’re doing, I think we’ve got plenty of runway ahead of us. We do plan to increase the fleet of vehicles substantially both the Delta class with spaceships, as well as our new mothership programs. There will be a time, not in the design phase, but as we really move into manufacturing that we will want to make bigger investments. First thing, we’re going to make sure is that the return on the investments and the money we put in is really solid now. We know that’s the case, as we’ve been looking and estimating our business plan going forward, but we don’t have a need to pull that capital down yet. With that said, you’ve mentioned, I think maybe, alluded to it. There’s an incredible amount of capacity in the aerospace industry right now. And we will accord at some of the partnerships that we may be able to take going forward. I think you’ll see us looking economically at ways that we can do things ourselves, but also make some really strategic partnerships to accelerate the pace of our fleet development.
Seth Zaslow: Jacqueline, let’s take one last question, please.
Operator: Certainly. Your final question is from Pete Skibitski from Alembic Global Advisors. Your line is open.
Pete Skibitski: Hey, good evening, guys. Jon, best of luck. And Michael first, I applaud you guys for being rigorous with the safety aspect of the program. I think that’s great. So, congrats there. Just pivoting, can we talk about how much schedule risk remains just from the impact of COVID? I’m kind of wondering if you guys have a sense of how much kind of loss labor hours or productivity you’ve been suffering due to COVID and our trends improving there.
Michael Colglazier: We clearly have been less efficient than normal, because of COVID. I would say the team has really got this in a managed process in state right now. So, while we are slower than we will be once kind of vaccinations move all the way through, and we’re able to get people in closer quarters together. I don’t think we have any, I’ll call it, future concerns or risk about schedule everything about the dates that we’ve shared today have the COVID impacts built into those from as best we can assess them right now. So, I don’t see something different there, but I am looking forward to the upside as we all are getting the vaccinations moving across the country and getting going faster from there.
Pete Skibitski: Okay, okay. And just one follow up on the talk of increasing the size of the – excuse me, the number of spaceships, I should say, all that implies, right the ability to pull in new customers, but you’ve closed the one small step program. So, should we expect, after Sir Richard flies basically, kind of a whole new kind of marketing program that really kind of aggressively goes out to recruit new customers?
Michael Colglazier: I think, if you look at who we’ve been bringing into advise us here, and I’d take a look at Blair’s background and strategy, as well as Geoff’s, those people are advising us in a way that we will take advantage of the momentum. And I think worldwide interest that will come when Richard Branson does fly with us, and we’ll use that moment to really launch the commercial side of our business. So, we’re being very thoughtful. We expect that to come in at a fairly large scale event and we think people are going to be very excited for it. And that will really demonstrate as we said the private astronaut market for us. And that’s why we’re opening sales up following that event. I think the momentum will be really clear in the footage and experience that we put in place will also be clear. Some of the work that we’re asking Joe Rohde to help us with will be more developed and designed visually at that point in time. And that will be a really great way to open up sales. We’re also then going to use our first revenue flight with the Italian astronauts – I’m sorry, the Italian Air Force that will come later in the summer, early in the fall. That will also give us a window to open up a new market and we’ll start sales against that new market following the flight with the Italians.
Operator: This concludes the Q&A session of the call. I’ll turn the call back over to Michael Colglazier for closing remarks.
Michael Colglazier: Thanks. First, thanks for all the questions. It’s good to catch up with everybody today. Just as we move forward, I want to make sure everybody heard the following three areas that are really the primary focus for the company. The first of these is on fleet readiness. We’re completing our test program. We are launching our commercial strategy around Richard’s flight, as we just mentioned, and looking forward to welcoming the Italian Air Force, as we formally begin revenue flights. The second focus for the company is around fleet expansion. This is about adding new spaceships and motherships to our fleet and pivoting the organization from an R&D phase to a manufacturing phase that will allow the business to scale overtime, and I think you’re seeing the additions of these really wonderful leaders that we announced today. They’re built to drive us forward in number two. And then third, we are developing the astronaut and consumer experience. As we just mentioned, we’ve assembled an incredible team at the top and they are all hard at work on building out our commercial strategy. So, we see really wonderful things coming ahead. I’d like to thank everybody for joining on today’s call. We appreciate your continued interest and support. We look forward to updating you on our progress during the next quarter’s call. Thanks so much.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.